Operator: Good afternoon, everyone, and welcome to the Lionsgate Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please also note today's event is being recorded. At this time, I'd like to turn the floor over to Nilay Shah from Investor Relations. Please go ahead.
Nilay Shah: Good afternoon. Thank you for joining us for the Lionsgate Studios Corporation and Lions Gate Entertainment Corporation Fiscal 2025 Second Quarter Conference Call. We'll begin with opening remarks from our CEO, Jon Feltheimer; followed by remarks from our CFO, Jimmy Barge. After their remarks, we'll open the call for questions. Also joining us on the call today are Vice Chairman, Michael Burns; COO, Brian Goldsmith; Chairman of the Television Group, Kevin Beggs, Chairman of the Motion Picture Group, Adam Fogelson, and President of Worldwide TV and Digital Distribution, Jim Packer. And from Starz, we have President and CEO, Jeffrey Hirsch; CFO, Scott MacDonald; and President of Domestic Networks, Alison Hoffman. The matters discussed on the call also include forward-looking statements, including those regarding the performance of future fiscal years. Such statements are subject to a number of risks and uncertainties. Actual results could differ materially and adversely from those described in the forward-looking statements as a result of various factors. This includes the risk factors set forth in our public filings for Lionsgate Studios Corporation and Lionsgate Entertainment Corporation. The companies undertake no obligation to publicly release the result of any revisions to these forward-looking statements that may be made to reflect any future events or circumstances. I'll now turn the call over to Jon.
Jon Feltheimer: Thank you, Nilay, and good afternoon, everyone. Thank you for joining us. The continued industry disruption, the lingering effects of last year's strikes and a disappointing theatrical box office performance impacted our financial results in the quarter. Within our Television Group, our unscripted business is feeling the effects of a continuing market correction. In our Film Group, the poor box office performance of Borderlands, coupled with softer-than-anticipated results from other releases in the quarter, reflected an environment with less margin for error than ever before. On Borderlands, nearly everything that could go wrong did go wrong. It has sat on the shelf for too long during the pandemic and reshoots and rising interest rates took it outside the safety zone of our usual strict financial models. Several of our other releases in the quarter, though cushioned by financial models that worked as intended, didn't live up to either our standards or our projections. In spite of the above, our business model still works. Risk-mitigated film and television slates, efficient production and marketing spends, a diversified portfolio of assets and a strong library that serves as the ballast of our business, generating nearly $900 million and trailing 12-month revenue in the quarter. But emphasizing the success of our financial models doesn't take the place of also getting the creative right. Under new leadership in our Motion Picture Group, we're making good progress in preparing our return to a much stronger and more diversified film slate in fiscal 2026, driven by the tentpoles Michael, Ballerina and Now You See Me 3. Beyond that, Francis Lawrence will be directing our sixth Hunger Games movie, after he finishes The Long Walk, the film adaptation of Stephen King's classic novel as we focus on and take full advantage of one of the most valuable portfolios of brands and franchises in the business. Our film slates include 2 to 3 tentpoles a year in order to create significant incremental value for our library, drive our film and television packages for buyers and in success capitalize on our biggest opportunities for outsized growth but we will also ensure that when we take bigger swings, we're taking measured swings. In addition to the tentpoles, we will continue to focus on the films that have done so well for us before, Starz driven commercial properties based in many cases on existing IP. In recent weeks, we've announced that Paul Feig will direct Sydney Sweeney and Amanda Seyfried in the thriller House Made. Challenger's Director, Luca Guadagnino, will shepherd our reimagining of the Lionsgate classic American Psycho, Amazing Spider-Man filmmaker, Mark Webb, will direct Johnny Depp and PenÃ©lope Cruz in Day Drinker, an Academy Award winner, Ke Huy Quan will star in the action thriller Fairytale of New York, from Sisu Director, Jalmari Helander. As you saw, we recently announced that Dirty Dancing, the musical is scheduled to head to Broadway in spring 2026, a new chapter of an amazing evergreen Lionsgate franchise. Combined with our La La Land stage play, shepherded by Wicked's producer Marc Platt and also slated for a Broadway opening in 2026.  Our upcoming John Wick AAA game in partnership with a major video game developer. The John Wick experience opening in Las Vegas next month and more than a dozen additional stage plays adapted from Lionsgate films and television series in the works, we have an opportunity to invest in the upside from a deep portfolio of projects that will create an important incremental revenue stream for our IP outside the 4 walls of our core businesses. Turning to Television. The market correction has impacted both the scripted and unscripted landscape with buyers continuing to order fewer shows and disrupting long-standing business models. But we are not letting this slow us down. Lionsgate Television brings to this environment a core group of returning hit series, like Ghosts, The Rookie, Acapulco, Mythic Quest, Raising Kanan and BMF and major new properties such as Spartacus, the reimagining of one of Starz's biggest original hits, The Hunting Wives, based on May Cobb's acclaimed bestseller about obsession, seduction and murder in East Texas. The Twilight TV adaptation Midnight Sun, the John Wick TV adaptation John Wick: Under The High Table and the show business comedy, The Studio, starring, co-written, directed and executive produced by Seth Rogen. It's a deep slate of high-profile properties that create significant growth opportunities for the future, while adding tremendous value to our library. In addition, we're refilling our pipeline with more than 40 scripted projects sold to platforms since the start of the year, drawing upon our ability to create new business models, pivot to new buyers and lean into new areas of growth. We expect the pendulum to begin to swing back to a new normal as our platform partners grow their profitability and fine-tune their content strategies. In the meantime, our television business is doing everything you would expect us to do, reducing costs, consolidating smaller labels to create greater efficiencies in our unscripted business, and continuing to evaluate the mix of business models on our scripted slate to mitigate risk and maximize our upside. Turning to Starz. We like where the platform is positioned heading into the separation. Starz remains on track for a $200 million segment profit for the fiscal year after executing a successful rate increase to drive revenue growth in the back half of the year. Starz programming is working. Power Book II: Ghost broke network viewership records in the quarter reaching 11.7 million multi-platform viewers and gaining 13% in OTT streams in the second half of its fourth season, with 5 shows, reaching between 9 million and 12 million multi-platform viewers a piece. Our core group of original hit series compares very favorably with the most successful shows on other platforms. With upcoming hit series Outlander and Raising Kanan, engaging both of our core demos, we expect to return to OTT subscriber growth in the back half of the year. On the distribution front, Starz and YouTube TV, one of the fastest-growing live TV services in the world renewed their distribution partnership with a new multiyear agreement that also creates new bundling opportunities. In addition, Starz announced a deal to bundle BritBox on its own platform as well as on Amazon. Streaming bundles have taken a little longer to materialize than anticipated due to industry disruption and technology issues, however, as they begin to gain real traction, Starz will be able to capitalize on the promise of a bundled world whose benefits include lower churn, reduced marketing costs, increased engagement and significant greater subscriber lifetime value. In the quarter, we announced a new partnership with applied AI research company Runway, under which they will have access to a group of our library titles in order to create and train a model for the use of Lionsgate and the filmmakers we designate. The entertainment business is a creative enterprise but its future growth will require a combination of art and science. We believe that AI harnessed within the appropriate guardrails can be a valuable tool to serve our talent. And we believe that over the long term, it will have a positive transformational impact on our business. I'm pleased to report strong progress in the quarter towards full separation of the Studio and Starz with the filing of our preliminary proxy. The Board's recommendation that we collapsed our 2 classes of stock into one and continued steps to put the necessary financing in place for both companies, which Jimmy will discuss in a moment. We continue to anticipate achieving full separation by the end of the calendar year, subject to the timing of regulatory approvals. This is a transitional disrupted and difficult year for our industry. We like what lies ahead in an industry that has always moved fast to adopt great new technologies to save money and increase efficiency where streamers and other platforms will return to being robust buyers of films, television shows and library as they continue to strengthen their balance sheets and regain their footing and where consumers are slowly but surely returning to the habit of going to the movies. But in the meantime, we have to control the things we can establish the financial and creative models that make sense for a company our size, be shorthanded in our execution and streamline our business by adjusting to the economic realities of the marketplace. Last month, we offered voluntary severance and early retirement packages to Lionsgate's U.S. employees and approximately 8% of eligible employees have elected to take advantage of these offers. I can assure you that we are aligning ourselves with our shareholders in every way, and we'll continue to do whatever it takes to drive shareholder value. In closing, we're continuing to make adjustments to our business based on changes in our environment. But our greatest takeaway is that we have to adhere even more rigorously to our diversified and risk-mitigated business model lean even more fully into the growth opportunities offered by our incredible and non-replicable portfolio of IP and remain even more faithful to the entrepreneurial spirit, agile posture and strict financial discipline that have always set us apart. Now I'll turn things over to Jimmy.
James Barge: Thanks, Jon, and good afternoon, everyone. I'll briefly discuss our second quarter financial results and provide an update on the balance sheet. For the quarter, Lionsgate's consolidated revenue was $949 million, adjusted OIBDA was a loss of $18 million and operating income was a loss of $89 million. Reported fully diluted earnings per share was a loss of $0.68 per share and fully diluted adjusted earnings per share was a loss of $0.43 per share. Net cash flows used in operating activities was $82 million, while use of adjusted free cash flow for the quarter was $132 million. As Jon noted in his prepared remarks, the recent underperformance of our wide theatrical releases and Borderlands in particular, has necessitated a revision to Lionsgate Studio's fiscal '25 financial outlook. We now forecast Lionsgate Studios will generate between $300 million to $320 million of adjusted OIBDA this fiscal year. This update outlook primarily reflects the impact of lower segment profit within our Motion Picture Group, along with some reassessment of the post-strike recovery in our television business. The Studio should see strengthening adjusted OIBDA over the next 2 quarters, driven by an increase in both high-margin post theatrical revenue and scripted television series deliveries. With respect to Starz, we continue to anticipate that its North American business will generate $200 million or more of adjusted OIBDA in fiscal year '25. Now let me briefly discuss the fiscal second quarter performance of our Studio and Media Networks businesses compared to the previous year quarter. Starting with the Studio business, quarterly revenue grew 4.3% year-over-year to $824 million, while Studio adjusted OIBDA was a loss of $6 million. Trailing 12 months library revenue of $892 million was up 2.5% relative to last year's Q2 trailing 12 months revenue. Breaking down the Studio businesses, let's start with Motion Picture. Motion Picture revenue for the quarter increased 2.8% year-over-year to $407 million while segment profit was $2.6 million. Revenue grew due to the increase in film releases, while segment profit was unfavorably impacted by Borderlands and higher P&A spend associated with an increase in the number of theatrical releases in the quarter versus the previous year. While Borderlands contractually guaranteed international presales, tax credits and post theatrical film output deals mitigated some of the financial losses on this film, the size of its underperformance was outside the range of outcomes we would expect, given the underlying IP, cast and size of the film's budget. As always, we learned valuable lessons from every release and Borderlands is no exception. We are confident that our go-forward processes will help reduce the likelihood of a similar outcome in the future. We will continue to refine our wide theatrical release strategy and make adjustments as the industry evolves and we believe that our overarching motion picture release model can continue to achieve strong financial returns without outsized risk. Moving to TV. Quarterly Television revenue of $417 million is up 5.8% year-over-year, driven by higher deliveries to Starz, while segment profit of $24 million expectedly declined year-over-year due to the pace of the post-strike recovery. Media Networks' quarterly revenue was $347 million, and segment profit was $27 million. Revenue was expectedly down year-over-year due to the exit from substantially all of our international markets. Quarterly North American revenue of $343 million was essentially flat year-over-year as OTT revenue growth was offset by linear pressure. Starz implemented a $1 price increase across its existing U.S. subscribers in the month of September. We expect this price increase will continue to drive an increase in ARPU and sequential revenue growth in the December quarter. North American segment profit of $27 million was down year-over-year on higher content amortization, reflecting increased Pay 1 and Pay 2 film output partially offset by lower originals content spend. Additionally, we continue to forecast that Starz North America will exit fiscal '25 with OTT accounting for 70% of its revenues. Starz ended the quarter with 12.4 million North American OTT subs, down 2.6% year-over-year. We ended the quarter with 20.2 million total North American subscribers representing a sequential decline of 1.15 million. This pressure was expected alongside our September price increase as we focus on driving ARPU and long-term revenue growth. Additionally, we continue to expect a return to sequential North American OTT subscriber growth in the December quarter. Now let's take a look at the balance sheet. We ended the quarter with $2.27 billion of net debt at the consolidated company, which reflects $1.64 billion at the studio and $622 million at Starz. The increase in Studio net debt reflects the expected use of cash associated with both the timing of post-strike content spend and the release of 5-wide theatrical films. Starz net debt is meaningfully down from its initial $700 million net debt allocation in May as we delever the Starz business. On a trailing 12-month basis, consolidated Lionsgate leverage at the end of the quarter was 6x, while stand-alone Starz leverage for its North American business was 3x. As we prepare for full separation by the end of the calendar year '24, we have made substantial progress in establishing the stand-alone capital structures for both Lionsgate Studios and Starz. In the quarter, we closed 2 IP-backed facilities collateralized by a portion of our library assets. The first was the previously announced $340 million IP facility supported primarily by the E1 library, while the second is a $455 million IP facility backed by a portion of the Lionsgate library. Both facilities were favorably priced at SOFR plus 225 basis points and will travel with Lionsgate Studios upon separation. The proceeds from these capital raises were used to pay down portions of the Studio's revolving credit facility and Term Loan B as reflected in our balance sheet at quarter end. And just this week, we closed another $265 million on the Lionsgate IP facility and completely paid off the Term Loan B. This marks over $1 billion of favorably priced asset-backed borrowings with an extended tenure of 5 years and significantly rounds out our post-separation capital structure. We are also on track to complete the remaining financings that will fund upon separation and complete the capital structures of both Starz and Lionsgate Studios. Looking forward to the remainder of fiscal 2025, as we noted before, we continue to forecast that the consolidated company's adjusted OIBDA and adjusted free cash flow will be second half weighted driven by a significant increase in television deliveries, post theatrical slate cash flows, Starz price increase and a return to OTT subscriber growth. As such, we expect trailing 12 months leverage should end the year at approximately 4.5x and 3x for Lionsgate Studios and Starz, respectively. And now I'd like to turn the call over to Nilay for Q&A.
Nilay Shah: Operator, could we open the call up for Q&A.?
Operator: [Operator Instructions] Our first question today comes from Thomas Yeh from Morgan Stanley.
Thomas Yeh: I wanted to ask about the evolving film approach. Jon, you mentioned the balance between big swings, but also a measured approach. How should we think about how you're redefining your zone of comfort? Are we talking about tapping deeper into existing franchises more? Does it revolve around the process oriented approach to production as you kind of look to build new IP? How should we think about the budget conscious on the of the types of films you're willing to green light if that's changed at all?
Jon Feltheimer: I'm going to let Adam, Chairman of the Motion Picture Group, to answer that.  Thanks, Thomas.
Adam Fogelson: So look, I think it's a combination of all the things that you talked about. I think that the company has done an extraordinary job of being financially disciplined and looking at risk-mitigated models. But I think that making sure that on the creative side, both on physical production, on creative production, on marketing, on research. I think there are ways to incorporate other elements of the company of the Motion Picture Group into the decision-making process so that both creatively and financially, we're taking advantage of best-in-class. We do have an extraordinary number of franchises that we are going to be leaning into because the audience is asking us for it. The appetite for John Wick theatrically, on television in the AAA game space and live experience is extraordinary. The appetite from the audience on Hunger Games is incredible, and we're really excited about the book that's coming out, and what that means for the future of The Hunger Games franchise, the same with Saw, the same with Highlander, So we're going to continue to be super financially disciplined but there will be an extra emphasis not only in what we make but in what we develop, to make sure that we are aligned with creative production with physical production, with marketing, with distribution and with our filmmakers to bring the right kinds of films to the market.
Thomas Yeh: Okay. Understood. And then the decision to streamline the U.S. workforce. Can you help us think through how much of that is addressing? What sounds like maybe a little bit of a greater rationalization at TV versus anything going on at Film or Starz? Any help with how that flows through and which areas or even business functions, particularly you're seeing as an opportunity to run more efficiently, it would be helpful.
Jon Feltheimer: Yes. Again, 8% just in our [indiscernible]. I think that's part of overall rightsizing our business. When you have a trough in the business in the overall environment, when you have this disruption, I think we want to be as aligned with our shareholders as we can be. And I think this is an opportunity we have to be a little smarter about our business to be a little bit more efficient. I would say that the nonfiction business is a little structured differently than most of our business in the sense you carry a fair amount of overhead, which typically gets applied against lots of episode. And this quarter, we actually didn't get too big orders that we expected. But overall, I think that this is an opportunity we have to, as I say, rightsize our business. We think about some of the ways we are structured and wait for the cycle to swing back to where we think it's going to swing back, too.
Thomas Yeh: And any update on eOne. I mean I think the trailing 12-month library revenue Jimmy cited, is that down year-over-year if you strip that out? And maybe just give us an update on the  path towards $60 million? And whether or not we're continuing to see that or if the broader TV pressure you're seeing is also affecting eOne as well?
James Barge: Yes, let me take the trailing 12 months first. Remember that while eOne certainly has been fully integrated and it's definitely helping our trailing 12-months library as we would have expected. Keep in mind in the prior comp, the prior year included Schitt's Creek, which was a fairly outsized very nice amount in the prior trailing 12-month comp. So actually, we're up despite that. And certainly, eOne helps, but we're seeing very strong library sales. Packer and his teams killing they've integrated completely the eOne. We like this asset. It's a great asset. It's a great team over there. We're tracking well. We successfully integrated this completely into our business, both on TV side, from The Rookie, to Recruit, Yellowjackets. And then obviously, I spoke to the library sales. Very happy with that asset.
Jim Packer: Yes. This is Jim. I would say eOne thing. The Rookie is really proving to be a long-term asset for us that is requiring a little bit of work to renegotiate. I think in our top 10 countries. We're redoing all the deals, but I think you'll start to see some real returns. We're already trending above my budget, and I'm feeling very optimistic.
Nilay Shah: Thanks, Thomas. Operator, can we get -- okay.
Operator: Our next question comes from Stephen Cahall from Wells Fargo.
Steven Cahall: Maybe first, just, Jeff, can you talk about how you saw churn perform in the quarter when you took the price increase? Was it in line with your expectation? And then as you look out to next year, what are you planning for the slate? Do you do anything different as you enter this period of the separation. How are you feeling about the $200 million in EBITDA? And can you grow off that? And also, what does cash conversion of that EBITDA look like as I think you'll look to delever. I know that's a lot in there, Jeff. And then on the TV side, just maybe this is a question for Kevin. But Warner Bros talked today about a lot of momentum that they're seeing in their TV production studio. So I do wonder if some of the challenges aren't necessarily industry-wide? Do you worry that you're losing market share in water cooler originals in particular? Or what do you think you can do to increase the success rate at TV production, especially as Studio looks to separate?
Jeffrey Hirsch: Stephen, it's Jeff. Thanks for the question. Look, I think we -- as we talked about, we put $1 rate increase into the business this quarter. I think the team did a phenomenal job of executing that with a lot of learning from last year's rate increase. So we came in right on actually our expectation in terms of the downward pressure on the business in terms of subscribers. You can see ARPU does spike year-over-year. And so we're actually seeing that start to flow through the business and we feel very good about that. Coming into the second half of the year when we bring Outlander back in about 20 days, sent them into Raising Kanan, and with this film slate, I think we feel very good about healthy OTT growth in both the third and the fourth quarter. So we feel very good about the $200 million to finish this year. Heading into post separation, I think there's a lot of opportunity for us to build back our library and start to actually put some owner economics on the business. I do feel good about that $200 million as kind of a baseline for the business in the next couple of years. But I do also think that you'll start to see as we normalize out of the strike in the COVID period and our cash payments start to really align again with our amortization schedule, you'll start to see higher conversion of unlevered free cash flow against the $200 million. So I'd expect that to be somewhere in the 70% range as we move forward. There is a little tail at the end of this year for some of the international shutdowns that is still pushing the free cash flow conversion a little down but we'll work through that and get to a really good state of unlevered free cash flow conversion against the $200 million. And to your other question, I think as the business continues to have been a very disruptive period and what we're seeing in D.C., I think it gives a lot of opportunity for us to do things that really help focus our business and help grow our business.
Kevin Beggs: Just to -- it's Kevin speaking. Just to follow on the questions about the overall scripted and TV market. I was really encouraged by the comments that we resonate from Warner Discovery. And we're certainly seeing lots of green shoots in the development side. Jon touched on it in his opening remarks. But we're over 45 projects sold in new developments since the end of the strike. That cadence seems to be increasing, and we're moving some of those toward conversion, which is really important to get from development into production. With 2 big players, destabilized, Paramount until the SkyDance deal concludes, Warner who has been struggling but it looks like they're turning a corner. These are key buyers for us. And as they resolve and move into more stability, that's great for us but we're not waiting around for that. We're finding new buyers. We touched on U.S.A. is back into scripted. We're there. MGM+. We have a big series with Robin Hood, there. We've got originals through our Canadian subsidiary at Hallmark+, we're out there beating the bushes every day to find new buyers. Our long-term partnership with Starz is stronger than ever. We have 3 distinct franchises, the most powerful of which pardon the pun is Power and The Power Universe. But right behind it are -- is the BMF franchise, and we're into a fantastic first season of production on Spartacus, which is moving into postproduction right now and really high hopes around it and what that's going to do for the partnership for years to come. And Jim touched on the Rookie, which is one of the key drivers behind the eOne acquisition. The Rookie from an originals perspective and a strong current department getting renewals is really important. We had a short -- strike-shortened first season. We have a full season of Season 7 that we're in the middle of making. We're in discussions about spinning it off, and we renewed and made an overall deal with a talented showrunner Creator: Behind, The Rookie, Alexi Hawley, which has led to other development all around town in addition to his strong work on The Recruit, which will premiere sometime in early '25 on Netflix. So all those things we're leaning into in addition to our own IP, Twilight John touched on John Wick moving into television. These are all things we're excited about and feel that we're quite competitive in the premium space.
Nilay Shah: Thank you. Operator, can we get the next question, please?
Operator: Our next question comes from Barton Crockett from Rosenblatt.
Barton Crockett: A couple of questions, if I can. One is just on this market correction in TV production to kind of understand a little bit better what happened and how you see this resolving. As I understood it going -- one of the issues like a year plus ago coming out of the pandemic was really supply driven, right? We weren't able to make shows and that kind of depressed results for a little bit. And then -- but now we're talking about a demand-driven kind of dynamic. There's not enough demand for shows, although maybe that's resolving now. But these networks are still operating. They still need content. So how is it that they're not buying shows but they're still putting content on air? Is that making stuff in-house, just rerunning stuff longer, buying some other suppliers? And then what was behind that, if you can elaborate, I'd be curious. That's one question. And then on a separate note, just -- I know that you guys were under -- as part of the separation, you need to raise some new financing at Starz to replace some of the stuff that's moved over to the Studio from Starz. And I'm just wondering if you could elaborate on what's happening with that process, just given some of the volatility and markets generally and some of the concerns around Starz, just how you're progressing with that?
Kevin Beggs: Okay. It's Kevin. I'll jump into part one. Yes, the demand is there but the financial constraints go along with it. So from an originals perspective, what you're finding is orders that maybe gets shortened instead of 22, it's 16 or 8 instead of 10, making those dollars go further? Or can you do that same show or a lot less and take it to a less expensive production location or one with generous tax subsidies? Every potential angle is on the table. We're shooting here in Los Angeles. We're shooting all over the world. We're looking for advantages. The shows that we have, the franchises I touched on together with Starz, we're always looking to see if we can bring the ultimate net budget price downward to give Jeff and his team more flexibility. The good news is that when they move into the library world, we have a vast library, which Jim can speak, too, because that often becomes an alternative to originals buying library, which is a little more predictable and less expensive than the original. So either way, we want to be a programming solution to our network and platform partners. To the extent that we can make that as many originals as possible, drive revenue, earnings and build library is our first choice. But we have to be flexible and kind of go with the market.
James Barge: And Barton, with regards to part two of your question, with respect to our financings. We're in the process. We're very confident. We're layering in two very good capital structures here. You've seen us execute on the bonds, which are in place at both Starz as well as the Studio, layered in $1 billion of IP facilities that we just completed. We were oversubscribed travels with the studio, great pricing. We're in the process right now with Starz on the Term Loan A, having very good conversations with our banks, and I'm very confident about closing that out as well. And on the Studio side, we'll lay in their traditional borrowing base facility. And all of this will happen in the next several weeks, and we will have teed up for funding and separation.
Nilay Shah: Thanks, Barton. Operator, can we get the next question, please?
Operator: Our next question comes from David Joyce from Seaport Research Partners.
David Joyce: I had a bigger picture strategic question, if I could get your thoughts, Jon and Michael on this. With Comcast looking at strategic alternatives or separating out its cable networks and now you've had a -- there's a pending change administration in D.C. I was just wondering what your views are on consolidation in the industry. What could make sense going forward? Especially in light of you soon having the Studios and Starz as separate entities.
Jon Feltheimer: Yes. Thank you, David. Well, to start with, obviously, the key rationale for separating the businesses is to allow each of them to prosper in its own -- in their own space and focus on their core business and give them optionality. I think it's obvious there's huge dislocation about to happen in the business. I think, certainly, some people are going to start questioning whether this idea of vertical integration really works, where they're taking away the natural tension between buyer and seller is really the best way to allocate resources. But for sure, there's going to be a lot of movement of pieces, I believe, out of these conglomerates. And I think after the dislocation, there's going to be a lot of relocation. And so what I would say in general after our separation is there's going to be a lot of optionality, flexibility. And I would say within the conversations that I think will be going on M&A and strategic change. I would say if you ask me, will both of the sides of our business, be involved in those conversations. And I would say, I think that's extremely likely.
Nilay Shah: Thanks, David. Operator, can we get the next question, please?
Operator: [Operator Instructions] Our next question comes from Brent Penter from Raymond James.
Brent Penter: I saw reports on a delay with the Michael film. So just curious where you are in the process on that film? And it would be good to get updates on the other big tentpoles for next year, Ballerina, Now You See Me. And then any thoughts on how that delay maybe affects the rest of the theatrical slate for next year?
Adam Fogelson: It's Adam. Thanks for the question. We have obviously poured through all of the dailies on Michael, and they are extraordinary but we have yet to see a first cut of the film. It was always the most hyper aggressive possible target for April. But we wanted to claim the space if, in fact, we were going to be ready for it because there's been a lot of interest on the large formats of having that movie. But we were never going to race that movie to have it come out before it's ready. The truth is that our filmmaking team has had extraordinary success with Bohemian Rhapsody in that late fall corridor. And given the quality of the movie and what everyone sees as the financial opportunity of that movie, it just made perfect sense to slot it into that corridor, have the opportunity to use all of the summer for trailer play. We just could not be more excited in what that opportunity is going to be, and we expect in the next few weeks, we'll start to actually see early cuts of the film. Ballerina had an extraordinary trailer launch. I think the audience was incredibly excited to see what felt like a real John Wick companion movie and getting to see Keanu joining on it in that movie, sparked a lot of enthusiasm and the early response in terms of the number of views. And in terms of early tracking on that movie are encouraging, and that movie, we fully expect will stick to the June corridor and the screenings of the movie after we did some enhancements have been very, very encouraging as well. And we just wrapped production on time and slightly under budget on Now You See Me, Ruben Fleischer, another A+ extraordinary director did a tremendous job. I was just at the American film market that's in Las Vegas this year and had a chance to show our foreign partners, the footage that we have crafted from that film, and there was immense excitement and enthusiasm, and that is already dated for November. So the slate is coming together. We also dated Good Fortune in the October corridor, and I will tell you that, that movie has screened absolutely extraordinarily well. Also a very easy recruit for that movie. People are really excited to see what Keanu and Aziz and Seth together have done. So we are very much looking forward to what next year has to offer.
Brent Penter: Great. And then on the AI partnership with Runway, can you just talk a little bit about how that came about and who initiated it? And what tangible benefits do you expect? And then what's been the feedback so far from the creative community?
Unknown Executive: It started with us doing a lot of due diligence in the world of AI. And we very much sparked to runway as they did to us. And I guess if I were going to paraphrase Wayne Gretzky, we think our partnership is with them is going to propel us to where the puck is heading as opposed to where it is. So we're excited about what we're doing together. We're not talking a lot about it. We've made such public comments about it. But we think this is very much going to enhance filmmaking and become an incredible tool for the community.
Adam Fogelson: And this is Adam. I would just add on to say that I think there were some questions when it was first reported. But I think once we clarified for our filmmaking partners, for our talent partners, exactly what this was, how it would be used, what it is and what it isn't. We've had great support and our filmmakers are using it already.
Nilay Shah: Operator, could we get the next question, please?
Operator: And we do have an additional question, this comes from Patrick Sholl from Barrington Research.
Patrick Sholl: On the theatrical releases, I was wondering if the -- how the performance in the quarter is kind of causing maybe a reevaluation like how you pursue your marketing efforts. I understand like efficiencies and that is very important. I was wondering if it's more difficult to break through in the current environment and just what sort of reevaluation you guys are undertaking?
Adam Fogelson: Yes. Thanks for the question. I think -- look, I think the reevaluation has more to do with what movies we decide to make and at what price is rather than rethinking marketing. The truth is when you look at the non-tentpoles that have succeeded over the course of the last quarter, there is no real correlation that you could identify between how much money was being spent and what the results were. Terrifier did a ton of business with a sub-million dollar P&A spend, Longlegs did a tremendous business on a very modest spend and a bunch of movies that spent significantly more than we tend to spend in similar genres performed at a disappointing level. So I think making movies that can be creatively great but that also carry with them a marketing proposition with filmmakers and talent that will force the audience to pay attention. It will never force an audience to see something they don't want to see. But making sure that you're greenlighting movies that the audience will have to focus on and pay attention to and make a conscious choice about. I think what has happened here is to narrow the funnel that is going to ultimately determine what gets through but not radically change how we're doing our business.
Nilay Shah: Thanks, everyone. Please refer to the Press Releases and Events Tab under the Investor Relations section of our company's website for a discussion of certain non-GAAP forward-looking measures discussed on this call. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded. We do thank you for attending today's presentation. You may now disconnect your lines.